Tom Erixon: Good morning. Fredrik and I would like to welcome you to the Full Year 2023 Earnings Call and share some comments and reflections on the quarter and on the year. Let me as always do a couple of introductory comments on the year. The full year 2023 was kind of a tick in the box type of year. The invoicing grew 22% to SEK64 billion, reflecting a solid order book and stable supply chains finally. Cash flow finally returned to normal conversion rates and reached SEK9 billion or three times that of last year. The Marine division started a strong margin recovery in the second half of 2023 as earlier guided and reached an 18% margin in the quarter, well in line with expectations. And finally earlier acquisitions performed well and ahead of plans with a strong development for both Desmet and StormGeo as the prime examples. So a good year overall. In Q4, specifically demand remained sequentially stable in line with guidance and reach an invoicing record level. Looking into 2024, we have a solid order book of SEK45 billion, SEK8 billion higher than last year. And the demand trends in the in-for-out orders looking into 2024 are a bit mixed. The transactional business in Food & Water turned positive in Q4 after six quarters of weak demand, so perhaps somewhat of an improvement ahead. And the HVAC sector turned negative in Q4 due to weak construction market and a slow heat pump market as well. So that is the preconditions as we move into 2024. Now let me go to the key figures for 2023 as a full year. It was a solid year with all numbers improving more than 20%. We are especially pleased that EBITDA is growing faster than sales in the period with heavy investments in R&D and capacity expansion. Finally, the bottom line was really strong with earnings per share at SEK15.3, an improvement of 50% compared to last year. The key figures for the fourth quarter specifically also had solid numbers generally better than last year. Order intake was sequentially stable and invoicing reached a new record level. The margin development was mixed and I will comment that on the divisional level. So let us go to the Energy Division first. The demand remained firm in Q4 in most end markets with the exception as I mentioned in the HVAC segment. While the lower construction activity will likely last for all of 2024, the heat pump market specifically is expected to gradually improve from mid-2024 as inventories are reduced in the value chain and installation level starts to recover. The margin of 73% was lower than the elevated margins from previous quarters this year, but still on a healthy level. In addition to the mix and absorption effects from the HVAC segment, the reval effects turned somewhat negative in the quarter after a period of positive reval earlier in 2023. Turning to the Marine division. Market conditions remained positive in the quarter and is expected to stay favorable in 2024. Yard capacity will be the main bottleneck going forward. The decreased order intake compares to a strong last year and is within normal quarterly variations. The previous margin challenges are now behind us in the Marine division in line with the guidance from the beginning of last year. The order book is replaced with a better price mix in 2023 prices and the depleted order book in the cargo pumping area is now rebuilt well into 2025. In summary, the SEK1 billion in earnings for the Marine division in Q4 was actually a new record and a good confirmation that the turnaround plan has been completed. Going to the Food & Water division, we had a massive order intake of SEK7.3 billion in Q4. Invoicing was also solid and met high comparable numbers from last year. In all, the market conditions have been mixed in 2023 with a clear weakness in the transactional business and with the strong demand in the project business. Order intake excluding Desmet was essentially unchanged compared to 2022. Finally, in Q4 the transactional part turned positive compared to Q4 last year, after a number of weak quarters. The underlying margin was somewhat better than reported as claims, provisions, currency and some specific under absorptions affected the quarter. Excluding these effects, the margin would have been close to normal levels. Moving on to service. We had a record year for all three divisions with a total order intake and invoicing at around SEK 19.5 billion. Demand is expected to remain firm, but may plateau a bit for a while after three years of very rapid growth. The gross margin has stayed stable throughout the growth journey. Let me then round off with a couple of regional reflections. Essentially, we have positive growth numbers for order intake everywhere in 2023 and Q4 specifically. Noteworthy is that India and Middle East continues fast growth as well as Eastern Europe now with Russia completely eliminated from the order book. Asia, as a whole, remains above 40% of total group order intake despite the weak macroeconomic situation in China. And let me just round off with a reflection on our top 10 markets. In fact despite some concerns about the Chinese macroeconomic situation, China developed quite well in 2023 with a healthy growth supported by strong marine markets and solid demand in the energy sector. And with that, I'd like to hand over to Fredrik for some further financial comments.
Fredrik Ekstrom: Thank you, Tom. Market demand in quarter four resulted in an order intake of SEK 16.9 billion, representing a growth of 7% of which the majority was organic. Service grew with 6% in the quarter and transactional business grew with some 5% in the quarter. On a whole year basis, this represents an all-time high order intake of SEK 70.7 billion, a growth of 20%, of which 10% is organic 4% currency and the remainder structural. After a record order intake in 2023, our sales backlog stands at SEK 45 billion, of which SEK 32 billion is for invoicing in 2024 and some SEK 13 billion for invoicing in 2025. The majority of the backlog is at 2023 pricing levels. Based on last 12 months' figure, we have an in-for-out requirement of SEK 31.6 billion or 50% based on a 12-month revenue. Q4 book-to-bill was 0.95. Quarter four resulted in the highest revenue quarter for the group, invoicing SEK 17.8 billion, a growth of 8%, of which 7% is organic. On a whole year basis, the group recorded revenues of SEK 63.6 billion, which is a 22% annual growth, of which 12% is organic, 4% currency and the remainder is structural. Mix was heavy on projects and service. Gross profit margin rose to 31.6% in the quarter, which is 0.2% higher than last year, despite several one-off provisions and adverse hedging contracts compensated by volume and service mix. Sales in admin in the quarter increased with 13%, of which half is inflation driven and the other half is driven by initiatives and added resources. Ratios to sale remains at 13.6%. R&D cost increases reflects our continued investment on innovation, but remains low in relation to sales at 2.3%. Net other cost and income has a positive deviation driven by somewhat lower CapEx project costs and by a sale of a previous manufacturing site. Operating income increases was 43% to SEK 2.6 billion. The financial net cost increases with rising interest costs and debt, and adverse financial exchange rate yields. Finally, EPS increases with 26% to yield SEK 3.77 in the quarter. Adjusted EBITDA margin in the quarter landed on 15.9%, which is an improvement of 60 basis points. Of that improvement, 90 basis points comes from organic development, 20 basis points comes -- dilution from currency and 10 points dilution from structural changes. Translation on transactional FX impacts on adjusted EBITDA for the quarter amounted to negative SEK 4.3 million. Eliminating for additional provision, one-off costs under absorption in the quarter, margins are more like on a normalized level as Tom mentioned before. On a whole year basis, the adjusted EBITDA margin improved with 30 basis points to yield 16.1% margin. Translational and transactional FX impacts on adjusted EBITDA for the year amounted to SEK 450 million. EPS for the whole year increased to SEK 15.31, an increase equivalent to 41%. Cash flow from operating activities came in at SEK 3.9 billion in the quarter boosted by positive balance movements on receivables and inventory. CapEx in the quarter came in as expected and finance activities is burdened by SEK 1.5 billion in amortization of debt, exchange losses and interest costs. Cash flow from operating activities for the whole year came in at $9.2 billion. CapEx programs closed at SEK 2.4 billion, well in line with our guidance resulting in a free cash flow of SEK 6.7 billion for the year. Financing activities came in at negative SEK 5.5 billion and that is mainly composed of a dividend of SEK 2.5 billion and amortization of debt of SEK 1.7 billion. Final cash flow for the year just shy of SEK 1 billion but with a stronger and balanced balance sheet. Our strong cash flow has allowed us to service debt and strengthen our capital position. Debt has decreased with SEK 1.7 billion to SEK 13.3 billion, which is equivalent to 1.13 times EBITDA. Cash balances amount to SEK 5.9 million bringing the net debt position to SEK 7.4 billion or 0.63 times EBITDA. Now to some important guidance for 2024. We have over time increased the scope of our central functions. These costs need to be considered as an intra-group service and not only shareholder cost from a tax perspective. Following international law, OECD transfer pricing guidelines and the recommendations of the Swedish tax authorities, we have decided to invoice more central costs to the group principal companies in accordance with Alfa Laval transfer price and policy. This moves a substantial portion of corporate costs from a corporate consolidation level out into the divisions as the costs are recognized in the principal companies. On the slide, you see the simulated effect on the 2023 numbers. Note that there is no impact on the group as a whole. And some further financial guidance. Our CapEx level is moderated to SEK 2 billion in 2024 and is expected to resume previous guidance of SEK 2.5 billion to SEK 3 billion in 2025. The latter to better reflect the expected market demand. Currency impact is expected to remain positive in quarter one and 2024, given the current closing averages. Amortization of step-up values just shy of SEK 1 billion in 2024. Tax rate guidance remains in the interval of 24% to 26%. And finally, a proposed increased dividend of SEK 7.5 per share. And with that I hand back to Tom.
Tom Erixon: Thanks, Fredrik. Let me then come to the outlook statement and I'm going to put some words around it, before we go to the divisional level. The demand trends as I indicated before, they point a little bit in different directions as we look into 2024. And the volatility, if we look 2023 and back has been rather high in specific segments. And so this situation is probably going to remain into 2024. To summarize that on a divisional level. For the Marine division, conditions are generally favorable and is expected to be somewhat higher sequentially than in Q4. The Energy division has mixed demand trends and is expected to be on about the same level in Q1 sequentially. And finally, Food & Water division had an exceptional demand in Q4 in the project business. Demand in Q1 is therefore expected to be lower sequentially. For the group, as a total, we estimate that demand situation will be somewhat lower in Q1 compared to Q4 2023. And with that, we are open for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from the line of Sebastian Kuenne with RBC Capital Markets. Please go ahead.
Sebastian Kuenne: Yes, good morning, everyone. My question relates to currency actually. I was wondering, if you had to apply hyperinflation accounting for some of the sales regions and whether that impacted your earnings in Q4 or whether you expect similar accounting in Q1 or Q2? Thank you.
Fredrik Ekstrom: I guess I should take that one. No, we have no countries right now on a high inflation accounting. We are on the other hand making sure that all transactions in Argentina are in US dollars. That will continue to 2024.
Sebastian Kuenne: Thank you.
Operator: The next question comes from the line of Andrew Wilson with JPMorgan. Please go ahead.
Andrew Wilson: Hi. Good morning. Thanks for taking my question. I just wanted to ask on Desmet. It seems to have again been a very, very good Q4 and obviously a very, very good 2023 and it's been very good since you bought it. So I guess, my question is and not pretending to have great visibility on the kind of individual customers or the market. Just a little bit of help of kind of how that's going to look in '24 at least kind of best guess at this stage, just understanding that obviously it continues to surprise on the upside.
Tom Erixon: Yes, it's a good question. I think, it's valid for you to make some assumptions. What is clear is that, Desmet in '23 went in with the large new order intake level well over SEK 5 billion around the SEK 6 billion mark and that is significantly higher than they typically have done historically. The issue as we move into 2024 is not only related to market conditions, but obviously the pipeline for projects and project execution is now full for 2024 and going into 2025. So, how we will roll that order book in 2024 remains to be seen. And so, possibly you will see a negative delta on the order intake for Desmet without necessarily indicating an invoicing differences in 2024 and possibly not so much in 2025 either.
Andrew Wilson: Thank you.
Operator: The next question comes from the line of Daniela Costa with Goldman Sachs. Please go ahead.
Daniela Costa: Hi. Good morning. Thanks for taking my question. I wondered, if you could comment a little bit more about how you're seeing the pricing environment across the various segments at the moment and I guess sort of some of the cost inflation overall in the input cost base have subsided, but you still see demand I guess shorter cycle demand improving going forward. So, if you can comment by division that would be great. Thank you.
Tom Erixon: Yes. Thanks. It's a rather broad question. I'll provide a couple of general comments on it. This year clearly in 2024, the pricing environment is tougher than it has been for a few years. We've gone through and partly come out of the high inflationary environment. So, it is kind to be expected. We don't feel we are out of balance compared to last year when it comes to our standard costing system and where we are on the pricing side. With that on the inflationary side, I would still argue that the salary and wage inflation is relatively high globally for us moving into 2024. It remains to see where logistics prices and energy prices will be. But generally speaking, I think excluding salary and wages, which will go higher, the rest is balancing that up a little bit. So I feel overall in the three divisions and in total that the inflationary side and the pricing side is quite well balanced as we go into 2024. And I would add to that that obviously, if we look at the order book 2020, when we started last year we still had some challenges in rebalancing all the order books. We are basically through that. So in that sense, we feel positive about how the order book looks in terms of execution for 2024.
Daniela Costa: Thank you.
Operator: The next question comes from the line of John Kim with Deutsche Bank. Please go ahead.
John Kim: Good morning. I'm wondering, if you could talk a little bit about the service revenue base and how your contracts work trying to understand the relationship between continued wage inflation and your ability to price that through to your clients. Can you give us a sense on your ability to pass that out and the speed or possible delays with that? Thank you.
Fredrik Ekstrom: Yeah. I mean, the way we work when it comes to -- I believe your question was particular to service there. Of course, the spare parts are part of the same costing update process that we do on an annual basis for all our products and therefore receive a new standard cost based on the material input levels that we have and the cost levels for other inputs salaries as an example as a main example. So we are fairly well compensated on the product side or on the spare parts side for any inflationary pressures that we have foreseen. And if there's additional pressures during the year, then we'll make a price correction at that time. And when it comes then to the pricing of the service hours that is done obviously in relation to the size of the service activity, and the scope of the service job. It's an active pricing. It's done on a one-off basis. So it's not a price list kind of activity when it comes to the service hours.
John Kim: Okay. Great. Thank you so much.
Operator: The next question comes from the line of Max Yates with Morgan Stanley. Please go ahead.
Max Yates: Thank you, and good morning. I just wanted to ask around the mix in energy going forward. And obviously I think you've talked kind of previously about HVAC being relatively higher than some of the oil and gas and process business from a margin perspective. Could you give us any kind of indication of how big that gap may be versus the kind of divisional average? And I guess, an extension of that question is, I kind of understand the comments on sort of Food & Water and I have in my mind what is a sort of normalized margin for that division. I struggle a bit more with the Energy division to really understand kind of what we should think about as a normalized margin? I mean, is it 20%? Is it slightly below that? Because obviously, we've seen incredibly good margin progression, but I'm sorry I lost track of what we should think of as normal here? Thank you.
Tom Erixon: Yeah. Thanks. I appreciate your question. And I think the last couple of years reflect an environment where margin volatility has been a bit higher than normal in our division -- on the divisional level, whereas on a group level it all has come through relatively stable. So I will hesitate to do too much of a forward-looking comment on the margin, but I can still put some color to it. If you look at the -- if you start with the Energy division, the oil and gas side is typically in a different supply chain environment than the HVAC business. And so the HVAC business is mainly for gasketed plate heat exchangers where also a lot of the renewables and sustainability projects are going. So the supply chain for HVAC, when it comes to gasket the plate heat exchangers is minus on the HVAC and plus some others. So we'll see, what will come out on the full year on that. There are both negative and positive momentums on that. So that is not necessarily materially changing the margin picture for that part of the business. The lost volumes related to heat pumps as part of the HVAC is a different story. There is nothing that covers that up. And so consequently, we will be running lower than last year in that area at least for the first half year that will have some mix effects some absorption effect given that that market is coming back. We are not moving into a restructuring program at this point in time. We are making sure we have the capacity as customer's comes back, and we're going to continue to serve that market in a good way. So, we believe it's a temporary problem over six months. That will have some margin impact. When it comes to the 20% and 20% plus that we've talked about over a couple of quarters, we have used the language of elevated level. And we normally don't talk too much about the odd ones in and the other ones out. They're always disturbing factors in the result and that's part of daily business. But all-in-all, you could say, that above the issue of a bit of mix and capacity in Q4 there are some difference in previous positive reval effects in the Energy division, that turned somewhat negative in the fourth quarter. So, I think you sort of got to get your arms around those two things a little bit, but it's not necessarily so that we felt that we anchored the division on a plus-20% level in the first quarters, given that we had a bit of positive headwinds in some areas. So, I think that's my main description on the situation.
Q – Max Yates: That’s helpful. Thank you very much.
Operator: The next question comes from the line of James Moore with Redburn Atlantic. Please go ahead. 
Q – James Moore: Yes. Hi, everybody. Thanks for taking my question. It's a question on heat pumps really. I'm just trying to understand where we are in this cycle and what you're assuming? Are you assuming order volumes stabilize at the sort of current fourth quarter level? And I wondered, if you could remind us, what HVAC volumes in order terms, were at the peak versus say the 2019 pre-COVID level? And where that is now, are we back below the sort of pre-COVID level on order volumes? And what does that mean for invoicing volumes in the first half? And I understand your comment about you expect it to improve from mid-2024 as inventories empty installations pick up. But once we're through that on a medium-term outlook basis, do you think that the HVAC market goes to being a 20% 25% market as some people were optimistic about one, two years ago or is it going to be a more mid high single-digit type market?
Tom Erixon: Just to clarify your question, is those numbers relating to a margin or?
Q – James Moore: No. Sorry, there's a lot baked in there, I realize that. I was firstly, trying to understand, what your order volume assumption is versus the fourth quarter level of order volumes? Do you assume that order volume has continue at this level? And I wondered, if you could help us understand where those order volumes are compared to the peak. That was the order side of the question. 
Tom Erixon: Right.
Q – James Moore: And then I was trying to understand, what is the revenues, in the first half, how much the revenues come down in the first half in HVAC? And then the third part of the question, was really to think about once we hit the trough and we see the inventories in the channel normalize, what is the medium-term 2025 to 2030 type outlook for this market? Do you think it's a very gung-ho double-digit market or is it more a mid-single-digit market, now the expectations have rebased?
Tom Erixon: Yes, I understand the question. Let's, see. The order intake and invoicing does not have a huge lag in this area. It belongs to what I would call, the short cycle market. And so, they flow reasonably well together. We had already in Q4's order intake for the Energy division and absorptions of lower orders and lower invoicing in the HVAC. Presumably, that is coming down a bit further in Q1 Q2. But on the other hand, on part of that product segment as I discussed earlier, we will have growth in other end segments. So the net-net is going to be different than the downturn in HVAC. You will not see the full HVAC downturn materialize in the order intake number nor in the invoicing. So, I think that's the first part. The second part is that as Fredrik said, we are slowing our CapEx program somewhat into 2024. We're not taking inverting on stream in line with the original investment plan. But with that said, we stand by the kind of the direction of the CapEx program in the Energy division in the coming years. And we do believe that the original forecast for heat pump implementation in Europe and to some degree outside Europe will pick up again. We were never convinced that we would get to sort of the numbers of heat pumps of 10 million a year that has been discussed. That is possible. But we haven't made our capacity planning up to that point yet. So we are still on a more moderate scenario and we are still in a situation where a fair amount of that product range will go into related applications like hydrogen. So we feel we are potentially moving on from mid this year going back into a fairly good growth mode without jumping into the numbers specifically. So I think that's as much color we can give to you at this moment in time.
James Moore: Thank you very much, Tom.
Operator: The next question comes from the line of Alexander Virgo with Bank of America. Please go ahead.
Alexander Virgo: Yes. Morning, Tom. Thanks very much for taking the question. I wondered if you could just develop that theme a little bit on to the margins. I guess the margins in Energy and the margins in Water were considerably below expectations on one-offs and under absorption and revaluations. And I guess what I'm trying to understand is the nature of those adjustments. I appreciate you don't want to call them out every time. But I think given the comments you've made there on heat pumps in particular and the impact that that has on under absorption. I wondered if you could just talk a little bit about providing some element of magnitude to those one-offs or giving us an indication of how they should progress through the year? Thank you.
Tom Erixon: Yes. We are trading in balance. I think the reason we made a statement on the one-offs was that the delta in the Food & Water division, we perceive that as being relatively big versus your expectation. So we felt some clarity on that. The 17-plus-percent margin on the Energy division from our point of view, although, maybe on balance we were a bit affected by negative revals and some other things was still in our book a good result. And if you look at the Energy division historically, I think, there's no reason why you shouldn't use that as one of the balancing point versus the elevated level in 2023 that we see in most of the quarters. The complexity of calculating the margin without providing all the transparency to you guys is that, of course, if we look at certain areas, we sit with a better order book now in energy than we did last year. We had problems with old pricing and executions in 2023. So there are certain points that will look better. We still see a very firm and good demand in the energy sector specifically in the oil and gas downstream activities, and the whole program that is now moving in sustainable applications energy efficiency, and hydrogen and other areas, the verticals is coming very strong. So we're going to have a lot of kind of moving factors here. We feel relatively good about where we are in the Energy division despite the fact that we will lose quite some -- compared to the regional plan specifically not only compared to 2022-2023, but compared to where we expect to be in 2024. Of course, the main issue for the Energy division is the heat pump specifically. It's difficult to make up in different areas and it will have some impact compared to where we would have been otherwise. But I don't want to make a major drama out of it.
Alexander Virgo: Okay. All right. Great. Thank you very much. I’ll get back in line.
Operator: The next question comes from the line of Klas Bergelind with Citi. Please go ahead.
Klas Bergelind: Thank you. Hi, Tom and Fredrik. So I want to ask on the Marine margin. Obviously, a solid performance here of 18%. I think, Tom, when we talked about this before, the previous peak of over 20%, you said that this might be tricky, as you don't have the scrubber business anymore also because of the lower margin in boilers, where there is more competition versus previous cycles. Having said that, you're ending the year at 18%, which was quite a bit higher than I thought, and you will have further volume leverage from here given the backlog into 2024 is perhaps 20% now achievable given the solid cost takeout. That's my question.
Tom Erixon: I think we felt when the Marine margin came down as abruptly as it did we owed you guys, an explanation and also a sense of where it was going. And I think for us we now reach a point where that process is over. And we'll be a bit cautious in doing the forward-looking guidance. If we just take the assumptions under which we are moving into 2024, yes the order book is better -- better priced in the boiler market for sure than we were a year ago. And we passed the point of the most troubled sums earnings situation that we had. And as indicated cargo pumping is now not fully loaded, because it takes some time to ramp. But the situation overall for 2024 is good. And the pipeline in the offshore side also looks better than earlier. So in many senses it's a good situation coming into 2024. We'll still be a bit cautious to proclaim victory, when it comes to getting back to 20% plus. But we are in a good solid platform for where we are. And of course, with that said, we've been very tight on spending and cost levels. And what's important for us to complete the turnaround in a good way. So I think we've done that. We set the scene well into 2024. I just want to be a bit cautious not to overstretch where we're going to head at this point in time.
Klas Bergelind: Yeah. Appreciate Tom. Thank you.
Operator: The next question comes from the line of Mattias Holmberg with DNB Markets. Please go ahead.
Mattias Holmberg: Thank you. A quick one just, you mentioned here some adverse hedging contracts. And I'm a bit wary on sort of the impacts we saw to the Marine margin over the past years where I believe hedging contracts were one of the issues. So if you could elaborate a little bit on sort of the same type of issues? Or are you working in a different way with hedges now compared to in the past? Thank you.
Tom Erixon: Yeah. No it's not the same issue. What we referred to specifically when we say that there has been an adverse yield on the hedges is when we take the -- an order intake for large projects we also hedge that project at that point in time. Now what happens is when invoicing occurs we also hopefully have the hedging contract mature at exactly the same time, but doesn't always happen, it can be a little bit off sync and that has an extra impact on the result. And here in this case particularly in Food & Water we had a lot of contracts that matured in quarter four and were taken at a substantially different exchange rate than what was the final yield at the time of invoicing. And therefore we highlight that as a particularly exposed area. But no, there is no repeat of an over-hedging or hedging that is done on a forecasted basis as was the case previously in Marine. That practice we have completely eliminated. So it is project specific.
Mattias Holmberg: That’s clear. Thank you.
Operator: The next question comes from the line of Gustaf Schwerin with Handelsbanken. Please go ahead.
Gustaf Schwerin: Yes. Good morning. And I come back to the margin in Food & Water and the magnitude of the one-offs. Maybe if I ask it in a bit different way. You're mentioning Tom that adjusted for this, were close to normal levels. But what is that now given definite revenue recognition being more so throughout the year, what is sort of a normalized Q4 margin level? And then on ADL, if you don't want to give the revaluation effect, can you help us with the delta and OpEx step-up related to the expansions year-over-year? Are we closer to the SEK100 million in this quarter? Thank you.
Tom Erixon: The reason we are somewhat hesitant to be too specific on numbers is that there is so much moving every quarter. And I don't want to give you a number and then you're going to correct everything going forward based on that, because next quarter we're going to have some other plus and minuses. So it's not going to be very helpful. I think the normalized -- I would add to this, in Q4 we had a very healthy margin on the dismiss side although we have even it out a bit in quarters, they were close to Food &Water average. So, it was not a lot of dilution on that part of the result. So, I assume that there is a little bit of a margin on the Food &Water results and you can have to make your own calculation on that I'm sorry.
Operator: The next question comes from the line of Sven Weier with UBS. Please go ahead.
Sven Weier: Good morning and thanks for taking my question. That would relate to the biofuel and offshore outlook, as Tom you said basically if I understood you correctly, you have two years' worth of sales almost in Desmet. You also mentioned in the quarterly report that Q4 offshore orders were lower because supply chain couldn't handle it. So, should we expect that the order intake this year is kind of normalizing to more sustainable demand? So something that the industry can and actually handle in the year? Is that the kind of trajectory that we should expect both for biofuels and offshore? Thank you.
Tom Erixon: It's a good question. And you're right that when we look at part of the verticals, it's not only about our capacity it is about the industry capacity in order to move forward. With that said, offshore demand cycle seems to remain fairly positive into 2024. And the biofuel side as a whole is still very vivid. And it's not only about Desmet and biofuel, it is about ethanol and some other verticals in that area. So, I guess the tonality and my answer is a little bit different than the tonality in your questions. Yes, I think it's reasonable to expect that Desmet specifically will be somewhat softer. Will we see a little bit of a weakness in order intake short-term for the Marine division? Possibly, but the overall sentiment in the Marine division is quite positive. So, some effect, but I wouldn't go overboard on it specially not in the Marine division is going to stay on board. Sorry.
Sven Weier: Thank you.
Operator: The next question comes from the line of Andreas Koski with BNP Paribas. Please go ahead.
Andreas Koski: Thank you and good morning. I hope you can hear me well. You have a very strong backlog for deliveries in 2024. And I wonder if you could share some of your reflections of how you think about the development of in-for-out orders in 2024 versus 2023, do you think they will continue to grow? Or are you seeing weakness in your short-cycle businesses?
Tom Erixon: Well, the way we usually talk about the in-for-out and our backlog is in terms of the last 12 months sales. So, in order to avoid getting into situation where we're giving you a forward guidance on invoice or in revenues or orders. And what I mentioned in my part is that we have about SEK31 billion to SEK32 billion to in and for out orders for 2024 given the current backlog and revenues on an LTM basis.
Andreas Koski: Backlog that you have for deliveries right already sort of secured for current fiscal year?
Tom Erixon: Correct. So, we have an in-for-out of about SEK32 billion.
Fredrik Ekstrom: So, in other words in order to make the revenue for the last 12 months as a benchmark, we would have to take in SEK32 billion more in order intake in order to make the invoicing or match the revenues over the last 12 months.
Andreas Koski: Yes. When I look at the backlog that you had for deliveries in 2023 and then I look at your total revenue number in 2023 and I assume that the delta there is in-for-out orders in 2023. And then I add that to the backlog that you have for deliveries, I come to a revenue number of about SEK70 billion in 2024 and that's why I was curious on your views around what you think will happen to your transaction business in 2024. Yes, I understand if you don't want to share that.
Tom Erixon: We have some different noise here in the -- I'm not sure I hope you are okay here. But I think, Fredrik and I would agree with you that if the market conditions remain as we have indicated into Q1 and so forth, it's reasonable to expect that the invoicing for 2024 will be higher than 2023. There's going to be a change in market conditions in order for us not to reach that. That's clear. Exactly what number that will grow into let's see, but the invoicing side for 2024 is obviously look strong at this point in time.
Andreas Koski: Thank you very much. And then secondly can I just ask about your service orders, which have come down sequentially for two consecutive quarters? Maybe I read too much into this. But do you think we have seen pent-up demand driving service orders in 2022 and beginning of 2023. And we have now come to an end that or do you think something else explains the sequential decline that we have seen in service orders for two quarters? Thank you. 
Tom Erixon: It's a good question. I'm not sure we can be extremely specific in how we answer that. We noticed obviously the same number. At the same time a year when we booked SEK 19.5 billion in service it's just very difficult to be too alarmed. We feel -- we have all the time doing this growth journey especially when we had the fast growth as to that question specifically. And then we had another quarter and another quarter. So if you look with some more extended time line over three years obviously we need complete different situation today than we were three years ago. There can be an element of a bit of pent up. But generally speaking we feel there are sound reasons for why we've seen the growth. The Marine side has grown very strong partly on the back of new products and new applications driving new installed bases and consequently service revenue. It's also a situation where ship owners at the moment is in very healthy profits. So there's a lot of interest in keeping the vessels in good shape at the moment. So demand situation is healthy there. On the energy side, we don't see any particularly pent-up demand situations previously. We are running that better and better with a better market coverage and a better coverage of installed base. And in some of our units we see -- continue to see monthly quarterly improvement. So we're not too concerned there either. And on the Food & Water side, we still believe we have opportunities in the rotating equipment to continue to grow and improve. So while we observed the trend over the last two, three quarters. And that's why I said maybe we are in a little bit of a plateauing level in 2024 in order to gain momentum again, but there is no we don't have a fundamental analysis that indicates that we should be in a down moving cycle at the moment. We that's not what we expect.
Andreas Koski: Understood. That's great. And then just quickly on Desmet. Do you still think that is say a 10% EBITDA margin business on an annual basis?
Tom Erixon: Yes, we do.
Andreas Koski: Okay. Thank you very much. 
Operator: The next question comes from the line of Vlad Sergievskiy with Barclays. Please go ahead. 
Vlad Sergievskiy: Yes. Good morning. Thanks very much for taking my two questions. First one is on marine demand. Are there any vessel groups outside of tankers that you are seeing improving demand in 2024. Or it's mainly tankers driving this trend? And my second question is on 24 revenue. And let me ask it in a slightly different way. Obviously, we know the backlog for execution this year you gave it to us. If I just think about book and term part so those revenues that you will book in 2024 directionally based on what you know today are they comparable to 2023? Are they lower? Are they higher? Just directional comment would be very helpful. Thank you very much.
Tom Erixon: Well, I think, the -- what's booked in in terms of I'm trying to frame your marine question. I think the underlying demand situation is good. I think yards are now sold out so there's a long lead time. So how the bookings will happen is more related to deliveries in 2026 and onwards. There are a number of the areas that have been somewhat weaker remains weak is on the crew side. That matters to us gas carriers, product carriers, tankers looks good at the moment. There is -- has been a big backlog on container and that's obviously for good reasons softening out. So that's maybe the language. But there is nothing in that mix that is terribly different looking forward compared to the last couple of years with the exception that the product tanker specifically came in a bit stronger than it was for a period of time. And that's been helpful. But I think we are on a stable level now when we look into the next couple of years in terms of mix. In terms of the order book what's different, well, it's a bit higher. As we said, it's SEK 8 billion higher. We feel not knowing where we're going to go on cost and execution on everything. But in principle, of course, we are out of this gross margin challenge that we had when inflation was going high and we were sitting with long order books in some areas in one to two years. So there's no guarantee for where we're going to be in the future, but in principle we feel we're sitting on a somewhat healthy order book now than last year.
Vlad Sergievskiy: Lovely. Thank you very much.
Operator: The next question comes from the line of Anders Idborg with ABG Sundal Collier. Please go ahead.
Anders Idborg: Yeah. Morning. Just we talked a lot about the HVAC part on energy. Just to talk a little bit about the expectations for the more traditional sort of the refinery, alternative fuel, process et cetera? Because I know you mentioned in the middle of the year there was some softness in China, a bit of phasing of the bigger projects. So if we take the outlook for 2024 on those parts, what do you think would be the big drivers, please?
Tom Erixon: It's a good question. We see a lot of verticals with strong momentum. I think for us the most exciting part is related to the energy transition applications. As you know we've been investing for years now in order to be ready, and to take advantage of some of the verticals that are starting to grow from low levels. So the first -- the pipeline in hydrogen, the pipeline in carbon capture, the pipeline in some of the energy efficiency areas is generally speaking looking good. And so it doesn't move the needle hugely in 2024. But obviously for us, it's strategically super important in how we position ourselves and grow in that market. And so there's positive momentum on that. I think downstream oil and gas looks good also into 2024. And you may be right about the midyear comment in China, but overall, for the Energy division including in China, we see petrochemical projects going forward. So all in all, we feel quite comfortable on the energy side with the exception of the short-term HVAC issue.
Anders Idborg: All right. Thank you.
Operator: We now have a follow-up question from Sebastian Kuenne with RBC Capital Markets. Please go ahead.
Sebastian Kuenne: Yeah. Thank you so much for taking the follow-up. I have a question on Food & Water. You -- we discussed Desmet a bit. I was wondering what the current business activity is for beer, for dairy and prepared foods whether you see there some underlying changes in market trends, because there it was so weak in the past couple of quarters? Thank you so much.
Tom Erixon: Yeah. There's some sketch works on that brewer side after some huge bookings 2022, I think it was and so forth. Remains a bit soft on the brew side for us. Dairy looks a little bit better moving into 2024. We saw that in Q4 already. And I think part of the reasons why the transactional part of our business in Food & Water looks a bit better is also and expectations of the more stable and better developing dairy market for us going into 2024. So that's about the end market comments. The biotech side, I would add it's also looking better into 2024. We had a clear boom in investments into biotech during the vaccine development years. It came down a little bit in 2023. We now see that pipeline looking better. So when we take all the verticals in the food together, we have a reasonable stable outlook as we go into 2024. And with that I think we completed the last question. So Fredrik and I would say thank you.
Fredrik Ekstrom: Thank you.
Tom Erixon: And if nothing happens before, we will see each other again in a quarter from now. Thank you.